Operator: Thank you for standing by. My name is Kate. I will be your conference operator today. At this time, I would like to welcome everyone to the DTE Energy Company Q4 2024 earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press star followed by the number one on your telephone keypad. If you would like to withdraw your question, press star one again. Thank you. I would now like to turn the call over to Matt Krupinski, Director of Investor Relations. Please go ahead.
Matt Krupinski: Thank you, and good morning, everyone. Before we get started, I would like to remind you to read the Safe Harbor statement on page two of the presentation, including the reference to forward-looking statements. Our presentation also includes references to operating earnings, which is a non-GAAP financial measure. Please refer to the reconciliation of GAAP earnings to operating earnings provided in the appendix. With us this morning are Jerry Norcia, Chairman and CEO, Joi Harris, President and COO, and David Ruud, Executive Vice President and CFO. And now I'll turn it over to Jerry to start our call this morning.
Jerry Norcia: Thanks, Matt. Good morning, everyone, and thanks for joining us. We have a lot of positive updates to share with you today, including a recap of a very successful year in 2024, which has positioned us well for strong performance in 2025. We will also provide an overview of our long-term plan that includes significant utility investment increases that we need to execute for our customers as we continue to build the grid of the future and transition to cleaner generation. This plan also demonstrates our ongoing commitment to affordability for our customers, continuing our 6% to 8% operating EPS growth target through 2029, with a bias to at least the upper end of the growth rate from 2025 through 2027. Joi will provide additional details on our long-term plan, and David will provide updates on our financials, including our 2024 performance and guidance for 2025, and then we will open it up for your questions. Let me start on slide four. I'll start by saying again that we had a very successful year in 2024. This success is driven by a team that consistently delivers as a result of our strong culture. Last year, we were recognized by the Gallup organization for the twelfth consecutive year with a great workplace award, and our employee engagement ranks in the 94th percentile globally amongst thousands of organizations. As I've said before, our high level of employee engagement is our secret sauce for continued success. We achieved operating EPS of $6.83 per share, delivering at the high end of our guidance and providing over 9% growth over the 2023 original guidance midpoint. We received a constructive rate order at DTE Electric last month. This all positions us well for another successful year in 2025. Our 2025 operating EPS guidance range is $7.09 to $7.23, with a midpoint of $7.16 per share, which provides 7% growth over the 2024 original guidance midpoint and will be the reference point for our long-term growth. We are currently positioned to achieve the higher end of our EPS guidance range this year. As we have said, the 45Z tax credits give us additional strength in our plan, providing confidence we will reach the higher end of our growth rate from 2025 through 2027, and provide flexibility to exceed the high end or support future years. Today, I'm really excited to talk to you about our updated five-year plan. Our plan is supported by significant investment of $30 billion over the next five years, a $5 billion increase from our previous plan, primarily driven by the investments needed to improve reliability and transition to cleaner generation at our utilities. Additionally, we have the potential for incremental investment above this $30 billion as we continue to make progress working on data center opportunities. We will update you as we progress towards definitive agreements. This $5 billion increase is a significant increase to our capital plan and is driven by the need to build out renewables to meet the increased demand from the success of our My Green Power Voluntary Renewable Program and to support Michigan's clean energy legislation, as well as the need to continue to invest to improve reliability for our customers as we continue our efforts to update and modernize our electric grid. With this heavy customer-focused investment on our utilities that we have been contemplating since 2023, due to the IRP settlement and the clean energy legislation that passed in 2023, we are strategically shifting the focus of our DTE Vantage investments to projects that are more utility-like and deliver solid long-term contracted earnings. I'll go over our plan more on the next slide. But what I'll tell you is that altogether, this plan delivers even higher quality, long-term 6% to 8% operating EPS growth with the 2025 guidance midpoint as the base for this growth, and provides flexibility and potential upside throughout the plan. DTE continues to be well-positioned to deliver the premium total shareholder return that our investors have come to expect with a strong balance sheet that supports our future capital investment plan and a solid dividend that grows consistent with operating EPS. Now let's turn to slide five to provide an overview of our updated long-term plan. Let me start by highlighting some of the opportunities that we have in front of us that have led to this plan. We've seen increased requirements for renewable generation investments above what was presented in our previous plan. This increase is driven by the continued success of our voluntary renewables program and our 2023 IRP settlement, which was supported by Michigan's clean energy legislation, also enacted in 2023. Together, this drives a significant need for increased investment in our voluntary and legislated renewable programs, requiring over $3 billion of incremental clean energy investment from our prior plan. We are well-positioned to execute these renewable investments with a solid long-term development pipeline in place, providing a clear line of sight on panels, land positions, and permitting, and we've also been able to safe harbor investment tax credits for these investments through 2027. Along with this increased investment in cleaner generation, this plan also increases our five-year distribution infrastructure investment by $1 billion. We have made great progress in improving reliability for our customers. We saw a 70% reduction in the duration of outages last year due to our work on the grid and less storm activity, which Joi will talk about more, and these investments ensure that we continue this progress consistent with our communicated plan and customer expectations. It is important to note that this commitment to improve is supported by the electric rate order we received last month and the independent audit of our electric distribution system as directed by the Michigan Public Service Commission last year. As we saw this significant need to increase utility investment, we also saw an opportunity to strategically shift our Vantage focus to more long-term fixed-fee contracted projects. Vantage is a segment that has provided a solid earnings profile over the years, and in recent years, we have had strong contributions from both our RNG customer energy solutions business. With the increased customer-focused investment at our utilities, we are aligning our project development at DTE Vantage to focus more on utility-like projects that provide a high-quality earnings profile with fixed-fee long-term contracts. As I mentioned earlier, we have 45Z production tax credits for our RNG projects coming into the plan this year through 2027, providing confidence we will reach the higher end of our growth rate from 2025 through 2027 and also provide flexibility to exceed the high end of our guidance or support future years. The increased need for customer-focused investment in our utilities and utility-like growth at Vantage gives us confidence we are delivering a long-term plan that provides a higher quality long-term 6% to 8% EPS growth rate. We also have potential upside to this updated investment plan and our 6% to 8% EPS growth rate, driven by potential demand growth at DTE Electric to serve data center opportunities in our service area. Along with the Switch and University of Michigan projects we recently announced for a total of 1,500 megawatts, we have signed another non-binding preliminary agreement with an additional party, bringing the total for the three agreements to approximately 2,100 megawatts of central new load. We are also in discussions with multiple parties for additional opportunities beyond those that I just described. Our success in championing the data center legislation with the full support of the governor, who has signed the bills into law, and bipartisan support has helped intensify these discussions. We have some existing capacity to serve the incremental load from these data centers, but we'll likely need to build additional capacity in the near term, and we will look to our 2026 IRP to incorporate new baseload generation to support new data center load. Importantly, as we execute this plan, we will continue to focus on maintaining affordability. DTE has a top-tier track record in maintaining customer affordability, which Joi will highlight shortly, and that will continue through our plan. Our strong cash flows, supportive energy policy, and a constructive regulatory environment continue to support our customer-focused investment plan. I'll close out my remarks by saying how proud I am of our team in delivering great results in 2024 for our customers and our investors. We are positioned to hit the higher end of our guidance this year with lots of dry powder in the plan, and I feel great about the opportunities we have in front of us to continue this success with a higher quality annual operating EPS growth rate of 6% to 8% and with multiple opportunities to drive the growth beyond this 6% to 8% EPS growth rate. Now I'll turn it over to Joi to give an overview of our accomplishments and opportunities. Joi, over to you.
Joi Harris: Thanks, Jerry, and good morning, everyone. 2024 was a very successful year across many areas of DTE Energy Company. In particular, one area where we demonstrated significant improvement was enhancing reliability for our customers as a result of our distribution investment. All of our businesses are in a strong position to deliver superior performance in 2025 and beyond. Let me start with DTE Electric. I am very proud of the progress we have made to improve reliability for our customers. In 2024, we installed more than 450 smart technology reclosers, upgraded existing infrastructure, including 850 miles of power line and 3,400 utility poles, and trimmed more than 4,300 miles of trees. These efforts to create a smarter, stronger, and more resilient grid, combined with less extreme weather in 2024, made a significant impact, resulting in customers experiencing a nearly 70% improvement in time spent without power. We also continued our significant investment in clean energy generation, placing multiple projects in service and initiating construction on our 220-megawatt battery energy storage center. We currently have 2,300 megawatts of renewable generation in service, with additional projects totaling over 1,000 megawatts coming online. As we are building to meet increased demand for clean energy, we are investing $24 billion over the next five years at DTE Electric, which is $4 billion higher than our prior plan. A significant increase to further support cleaner generation and improve reliability for our customers. Required investments in cleaner generation continued to grow, with $10 billion of investments planned over the next five years, an increase of $3 billion from last year's plan. This is driven by the continued success of our voluntary renewables program and the requirements under Michigan's legislative clean energy law. It's important to note that we have been able to build an extensive development pipeline to support this growth in renewable investment. Solid land positions combined with our ability to successfully move these projects through the interconnection and permitting processes provide confidence that we can execute these investments. We have panels secured through mid-2027, land positions that should take us into the 2030s and beyond, and permits secured for the majority of our projects through 2027. We also have been able to safe harbor investment tax credits for these renewable projects through 2027. Investments in distribution infrastructure increased by $1 billion in this plan as we focus on continuing to improve reliability for our customers. Recent regulatory outcomes support this investment. The constructive rate order we received last month supports the customer-focused investments we are making to build the grid of the future. The electric distribution audit report that was completed last year confirmed that our proposed investment plan will deliver the dramatic improvements in reliability that we have committed to our customers. Over the next five years, we expect to reduce power outages by 30% and cut outage time in half as a result of these investments in our improved operations. As Jerry mentioned, there is potential upside to the five-year capital plan driven largely by data center opportunities in our service territory as well as further economic development in Michigan. Let me move to slide seven to highlight some of these opportunities. Southeast Michigan continues to be a great region for economic development, attracting many large companies that contribute to the progress of our state and its residents. General Motors, Henry Ford Health, and the University of Michigan are among the large companies with major investments in our service territory, providing significant economic development and providing thousands of jobs. We continue to collaborate with economic development partners throughout the state to target key business segments to drive further economic growth. As you know, data center development and the impact of the potential load from the data centers have been an important focus over the last year. We're making great progress with data centers. Our success in championing the data center legislation for the sales and use tax exemption has helped us further progress discussions. We continue to work with a number of hyperscalers and colocation providers on opportunities within our service territory. We recently announced that we have advanced one of those discussions to a non-binding term sheet that is moving toward a definitive agreement. Switch, a leading colocation provider, plans to build this 1.4-gigawatt site using some of our land from an existing site, with the project expected to ramp up through 2032. As Jerry mentioned, we have signed another non-binding preliminary agreement with an additional party. Together with the Switch agreement, along with the University of Michigan project we announced recently, these projects bring a total of approximately 2,100 megawatts of potential new load onto our system, which represents approximately 40% overall load growth when it all comes online. We continue to have discussions with multiple other major data center opportunities. As we said before, we can begin to serve this demand quickly because we have some excess capacity. In addition, these projects will require additional build of new generation to support the early load ramp in the near term and could provide longer-term investment opportunities in new baseload generation, which would be supported by our 2026 IRP. Of course, as we continue to invest in our system and as these incremental opportunities come into our plan, we remain very focused on maintaining customer affordability. These data center additions, along with our distinctive continuous improvement culture to drive cost management, will continue to support affordability for our customers. We are delivering top-tier affordability through continued superior cost management, operational excellence with our power plant, and one of the larger energy efficiency programs in the country. As a matter of fact, our historical average annual bill increase demonstrates the extraordinary results in the affordability arena. Even after including the electric rate order we received last month, our annual bill increase since 2021 is well below the utility Great Lakes average and national average through 2024 and also well below the general rate of inflation. Let's move to slide eight to discuss DTE Gas. Our gas business had another great year in 2024 as we continue to deliver our customers with top quartile cost and operating performance. I'm proud to highlight that DTE Gas ranked number one in the Midwest for customer satisfaction for business natural gas service by J.D. Power last year. We are incredibly proud of this recognition. It shows our team is truly committed to providing service excellence to our customers. We continue to progress our gas main renewal program as we modernize the gas transmission system in our distribution system. Over the years, we have made significant investments into this program and recovered this investment through our infrastructure recovery mechanism. Since the program began and through 2024, we have renewed nearly 1,900 miles. Over the next five years, we are planning to invest $4 billion to upgrade and replace aging infrastructure. I'll just close out my comment by saying how excited I am about the opportunities ahead of us. Our updated five-year plan supports the investments we need to make for our customers. It includes significant increased utility investments focused on enhancing our systems to further improve reliability and to support our growing renewable program. This updated utility plan also provides the opportunity for us to focus on more utility-like investment at DTE Vantage, which is expected to drive annual base earnings growth of about $20 million per year. Overall, our plan provides an earnings profile that is high quality, continues to target 6% to 8% operating EPS growth, with confidence we can reach the high end of our growth rate from 2025 through 2027, as 45Z production tax credits come into the plan, with flexibility to exceed the high end or support future years. The opportunity in data center development provides potential upside to the plan. With that, I'll turn it over to David to give you a financial update.
David Ruud: Thanks, Joi. Good morning, everyone. Let me start on slide nine to review our 2024 financial results. Operating earnings for the year were $1.4 billion, which translates to operating earnings of $6.83 per share, putting us at the high end of our 2024 guidance with 9% growth over the 2023 original guidance midpoint. You can find a detailed breakdown of EPS by segment, including a reconciliation to GAAP reported earnings in the appendix. I'll start the review at the top of the page with our utilities. DTE Electric earnings were $1.1 billion for the year, $314 million higher than 2023. The main drivers of the earnings variance were the implementation of base rates, warmer weather, and lower storm expenses, partially offset by higher rate base costs. Moving on to DTE Gas, operating earnings were $263 million, $31 million lower than 2023. 2024 was the warmest winter in over sixty years, coming off the fourth warmest year in 2023. Along with the impact of warmer weather, the earnings variance was driven by higher rate base and O&M costs, partially offset by higher IRM revenue and implementation of base rates. Let's move to DTE Vantage on the third row. Vantage had another strong year in 2024 with $133 million of earnings. The variance from 2023 was due to a combination of some timing and one-time items in 2023, primarily in our steel-related business. This was partially offset by higher investment tax credits that primarily occurred in the fourth quarter of 2024. On the next row, you can see energy trading finished the year with earnings of $100 million. The strong performance in our contracted and hedged physical power and physical gas portfolios that we experienced in 2023 continued into 2024, and we expect to see some of this strength continue, which is reflected in our 2025 guidance on the next slide. Finally, corporate and other was unfavorable by $26 million year over year, partially due to higher interest expense. Overall, DTE earned $6.83 per share in 2024, delivering at the high end of our 2024 original guidance. Let's turn to slide ten to review our 2025 earnings guidance. Our 2025 operating EPS guidance midpoint is $7.16 per share, which provides 7% growth over our 2024 original guidance midpoint. We continue to target 6% to 8% long-term growth, with the 2025 original guidance midpoint as a base for this growth. As Jerry mentioned, we are currently positioned to achieve the high end of our 2025 EPS guidance range as the RNG tax credits come into the plan. In 2025, DTE Electric growth will be driven by investments in grid reliability and cleaner generation. DTE Gas will see continued customer-focused investments in main renewal and other infrastructure improvements that enhance operational performance and support decarbonization. At DTE Vantage, 2025 earnings are driven by the development of new custom energy solutions projects that serve as a base for growth going forward, and we do expect to recognize 45Z tax credits from 2025 through 2027. We expect these credits, on average, to contribute about $50 million to $60 million in earnings during these years, providing confidence we'll reach the high end of our growth rate from 2025 through 2027 and provide flexibility to exceed the high end or support future years. We expect continued consistent growth at DTE Vantage with a strong pipeline of long-term contracted fixed-fee projects, which will drive about $20 million in average annual base earnings growth, giving us confidence in our longer-term earnings targets in this segment. You can find additional detail on DTE Vantage's long-term earnings growth in the appendix of this presentation. At energy trading, as I mentioned, we expect to see continued strength in both our structured physical power and physical gas portfolios as we continue to see favorability from these contracted and hedged positions, giving us confidence in our guidance range. At corporate and other, the change is driven by higher interest expense. Let's move to slide eleven to highlight our strong balance sheet and credit profile. We continue to focus on maintaining a solid balance sheet. Due to our strong cash flows, DTE has minimal equity issuances in our plan, targeting annual issuances of $0 to $100 million through 2027. We do see some modest increases to equity issuances beginning in 2028 to support our significant capital investment plan. Our long-term plan includes debt refinancing and new issuances, and we continue to manage these future issuances through interest rate hedging and other opportunities. We continue to focus on maintaining our strong investment-grade credit and solid balance sheet metrics, targeting an FFO to debt ratio of 15% to 16%. Let me wrap up on slide twelve, then we will open the line for questions. Our team continues our commitment to deliver for all of our stakeholders. We delivered solid growth in 2024, achieving earnings per share of $6.83, delivering at the high end of our guidance range. The 2025 operating EPS guidance midpoint provides 7% growth over the 2024 original guidance midpoint, and we are currently positioned to achieve the high end of our EPS guidance range this year. Our updated five-year plan provides higher quality long-term 6% to 8% EPS growth through increased customer-focused utility investments and shifting to more utility-like investments in our non-utility. This plan increases our five-year capital investment by $5 billion over the previous plan, primarily to support the needs in our cleaner energy and reliability-focused investment areas. Data center opportunities provide potential upside to this five-year capital investment and EPS growth plan. We continue to target 6% to 8% operating EPS growth and are well-positioned to deliver at the high end of this growth rate from 2025 through 2027, with flexibility to exceed the high end and support future years. We continue to target dividend increases in line with operating EPS growth. Overall, we are well-positioned to deliver the premium total shareholder returns that our investors have come to expect with a strong balance sheet that supports our capital investment plan. With that, I thank you for joining us today, and we can open the line for questions.
Operator: Please use your handset and press star, then the number one on your telephone keypad. We will pause for just a moment to compile the Q&A roster. Your first question comes from the line of Shar Pourreza with Guggenheim Partners. Please go ahead.
Shar Pourreza: Hi. Good morning, team. Congrats on a great quarter. It's actually Constantine here.
Jerry Norcia: Good morning. Hey. Good morning, Constantine. Good morning.
Shar Pourreza: Just starting off maybe on the CapEx plan updates, maybe clarify the data center upside. You noted that 2,100 megawatts in current agreements. Are those included in the current plan, or is that still all upside? And as these agreements get converted into CapEx, how should we be thinking about the future cadence of CapEx and financial update?
Jerry Norcia: Yeah. Great question. As you heard, we see a lot of great opportunity with these data centers, but we haven't put any of the benefits of this into the five-year plan or a CapEx plan yet. So as we move towards the definitive agreements, we do see upside to our plan from this. We have some excess capacity, as we've said in the past, and that'll support some of the data center load and gets us in a good position to get this to come on early. Then as we move to definitive agreements and understand their load ramp a little more, work through our IRP process, we'll understand better the generation mix needed. But I'll say in the near term, as we're supporting that up to 1,000 megawatts, we're expecting incremental renewables and storage within our plan, probably towards the backside of our five-year plan, because that supports their desire for cleaner power. That is something we do expect to come in within our five-year plan as we move towards the period of agreement. As we said, we're kind of in the term sheet stage right now, working towards the definitive agreement. When we get there, we'll update our capital plan more. Is there any specific cadence for that between kind of the third and fourth quarter that we've seen in these cycles?
David Ruud: Yeah. That's probably when we'll be able to give a deeper update. We'll update throughout the year as we make progress. Then as we see when the capital would flow into our plan, it would probably come out again in the fourth quarter with that.
Shar Pourreza: Okay. Perfect. Then, you know, the RNG credit pushes you for the top end, and there's inflexibility to exceed the 6% to 8%. Is that tail-end kind of strength driven by the 20% CapEx plan increase, or is there an assumption on 45Z extension above the 6% to 8%? Do you envision any changes in the cash flow profile at Vantage just based on some of these assumptions and shifting to more utility-like contracts?
David Ruud: Yeah. We've kept a similar capital investment overall at Vantage, and it is more utility-like. So the returns on those projects aren't as high as what we saw with RNG. So we put in a really solid plan for Vantage that kind of gets us our $20 million a year and gets us to the long-term plan we need there. We don't assume any production tax credits or really investment tax credits as we get past 2027. So when you look at our overall plan, that stronger 6% to 8% long-term EPS growth is really driven by our utility investment that we're making to support cleaner generation and build out reliability for our customers. Just to give you a little bit of context on the development of this plan, we started to see some really significant positive tailwinds in 2023 in our utility CapEx plans, and that was really driven by several events. One was the IRP that we settled in 2023. Then on the heels of that, we got clean energy legislation done here in the state in late 2023. Then we had tremendous success with the voluntary renewables program. Further to that, in 2024, we got a very supportive audit report for our wires business. So when we packaged all that together, we saw this significant lift of $4 billion in electric CapEx plan in the new five-year plan that we just rolled out. This really did give us the opportunity to start thinking about a shift at Vantage to higher quality earnings with long-term fixed-fee contracts. Overall, I think as you've seen, from 2025 through 2027, we're positioned to be at the higher end, which also gives us flexibility to exceed the higher end of guidance and prepare for future years when the credits roll off at the end of 2027. So I would say overall, we feel very confident in achieving all of this and that we got a much higher quality plan on the table.
Shar Pourreza: Excellent. I think we can leave it at that. Thanks for taking the questions.
Operator: Your next question comes from the line of Nick Campanella with Barclays. Please go ahead.
Nick Campanella: Hi. Good morning, team. Hey. This is actually Faye for Nick today, and thanks for taking my questions. Congrats on a strong 2024.
Jerry Norcia: Hey. Good morning. Hi, Faye.
Nick Campanella: So I just first on data center demand, I guess, as it rolls into the plan, just generally how do you think about the impact to your load growth CAGR? Obviously, you've been pretty conservative. You've been planning conservatively with only the specific projects you announced. But just trying to have a more holistic view.
Joi Harris: Hey. Good morning. This is Joi. Thanks for the question. Yeah. Exciting times with data centers, and it will be great for our customers if you think about what that could do for affordability and allow us to invest behind it in our wires business. But we are looking at modeling what we know of the potential for data center growth, and it equates to something in the range of 4% to 5% increase on a CAGR basis for our load growth over that time horizon, which is excellent for customers. We're making sure that we're working these agreements and bringing home this data center growth in our plan.
Nick Campanella: Great. That's super helpful. I guess, just quickly on 2025 execution, could you discuss your rate filing cadence and how those different rate case outcomes or just different scenarios could drive 2025 execution and to what extent would they affect your confidence to achieve the high end of the range during the year?
David Ruud: You think the thought we're feeling about 2025, we're feeling very, very confident. On 2025, we're gonna at least hit the higher end of guidance. I mean, the start to the year is actually building contingency in our plan. So we're feeling really, really good, and I always judge how we're doing in a year by what we're working on in the moment. I can tell you we're deep into 2026 planning and the details of that. So that always is measured for me is how calm 2025 looks rock solid in terms of performance. Do you want me to talk about the rate case? Yeah. On the rate case, yeah. So the order we received last month, a constructive order, within our planning scenario. So we're going to work on, you know, just dispatching the capital as we had intended. In terms of our filing cadence, your question around one, electric's probably gonna be in the second quarter. We'll follow another case given the level of investments that we're making and our desire to incorporate findings for the Liberty audit. We wanna make sure that we are in a position to expand the IRM using that as a basis. We've gotten some positive feedback from the commissioners from the bench, and also in our discussions with the staff. Then for gas, we'll likely file another case towards the back half, back end, I should say, the fourth quarter of 2025. Again, to continue our investments in distribution and transmission, and then also to look to continue our IRM, which has worked really, really well for the gas company.
Nick Campanella: Got it. Great. That's super helpful. Thanks again.
David Ruud: Thanks, Faye.
Operator: Your next question comes from the line of Jeremy Tonet with JPMorgan. Please go ahead.
Jeremy Tonet: Hi. Good morning. This is actually Rich on for Jeremy.
David Ruud: Hey, Rich.
Jeremy Tonet: Starting with some of the near-term and long-term financing considerations, can you walk through those and maybe the cash flow drivers behind sizing minimal equity in 2025 versus the kind of uptick in later years?
David Ruud: Yeah. Let me just start by saying, you know, we're confident in our existing plan with this zero to $100 million in 2025 through 2027, and it's really driven by strong base cash flows and then some of the monetization, some of the tax credits we'll be getting. So it puts us in a great position to continue our 15% to 16% FFO to debt with that minimal equity. What we did say is that as you see some more of this capital come into our plan in the later years, we could see some increased equity needs then. We're gonna keep working that. Now, it feels like a modest increase, but we'll keep trying to manage cash and what we can do in the meantime to minimize that as much as possible. We do see some equity that would come in 2028 and beyond to support the growth capital we have.
Jeremy Tonet: Great. Thank you for that. Then I know we hit on Vantage a little bit earlier in Q&A, but just want to revisit this. Could you speak a little bit more to the opportunities that you're now most focused on? Just curious how you expect this high grading to play out over the next few years?
David Ruud: Yeah. I think as Dave mentioned, you know, we're looking at about $20 million a year of income growth. If you look at the history of this business, we've done about $20 to $30 million a year. So we think we've got a good conservative plan, and the type of projects that we're pursuing, you'll have seen some recent announcements of projects that have come on this year as well as next year, where there are long-term fixed-fee behind-the-fence utility services, so things like cogeneration, water treatment, compressed air, those types of utility services that we've been able to do with very large industrial partners. We've got more of that in the hopper, and we've got a pretty strong pipeline. We're also starting to dip our toe in the carbon capture and storage with large ethanol producers. We've got several agreements, and we're working to prove out some of the geology there, but those are also small in nature, like $60 million to $100 million CapEx to get our toes in the water, if you will, on that one, with IRRs that are north of 10% unlevered after tax. They're long-term fixed-fee type contracts with no commodity risk. So again, early there, but we're feeling pretty good about the pipeline and the strength of the pipeline at Vantage to generate that $20 million per year. So that once these tax credits all roll off, you know, in 2028 and 2029, we're sitting right on top of where we want to be.
Jeremy Tonet: Great. Very helpful. Thank you.
Operator: Your next question comes from the line of Julien Dumoulin-Smith with Jefferies. Please go ahead.
Julien Dumoulin-Smith: Hey. Good morning, team. Thank you guys very much. Julien is on the line.
Jerry Norcia: Hi, Julien.
Julien Dumoulin-Smith: So with that said, hey. Good morning. Hey. Just coming back to a couple of things that maybe this helps tie things together. Right? First off, on the look beyond 2027, how are you thinking about 45Z and just the ongoing ability to tap some kind of credits, you know, as far as it goes to sustain or continue to grow that Vantage piece? Just want to understand, obviously, you're making very strong comments here. The front end of the plan. I just want to understand the cadence of the back end of the plan. Then related, I know Rich just got at this a little bit, but how do you think about the potential less contribution from Vantage, and I don't know if you're insinuating more equity beyond 2027, as you see an uptick in electric spend, but I just want to understand maybe some of the moving pieces because the plan on the front end seems very locked in. There's a little bit more ambiguity here between the equity and the RNG contributions in the back half that I wanted to try to understand.
Jerry Norcia: Yeah. Julien, let me take the income profile, and then Dave can talk about the financing of it. Look, this $20 million a year at Vantage certainly will support our 2028 and 2029 guidance, and I think that's how we're positioned to do it. We're not counting on any Z's or any tax credits in 2028 and 2029. So that's how we built the plan. That gives us great confidence that we'll achieve our goals. But I gotta tell you, the quality of our plan is significantly increased with the amount of CapEx that we got coming in from the utilities to drive, you know, the superior growth. Certainly, you know, at the higher end of our guidance from 2025 through 2027, and with good potential to exceed it. I view our prospects in the utility businesses as even having more potential upside as data centers start to roll in. You know, we've got about 1,000 megawatts of capacity that we can deploy early on. We also have very large land positions that these data centers are very interested in. We're getting a lot of action. Now we just gotta turn that action into definitive agreements this year, and I think that starts to line up future potential upside to our plan in those outer years, Julien. So that's how we're feeling about it. Very positive about the long-term outlook of our growth plans.
David Ruud: And, Julien, we wanted to put a more conservative plan out there for Vantage long-term that doesn't have any of those tax credits, but as you know in our history, we've found opportunities for those. So there could be some upside with what would go on. Then as far as the equity, yeah, we usually just give a three-year plan, so our three-year plan is zero to $100 million from 2025 to 2027. But as we're bringing in this capital, you know, we just wanted to start to signal that there would be some additional equity within a plan. We'll work to minimize that, but I think there's some modest increased equity that would come in the 2028, 2029 period into the plan.
Julien Dumoulin-Smith: Excellent. Thank you, guys, for clarifying. Then maybe this is a nice follow-up here. Can you speak a little bit on the data center front just to how the timeline here? I know that there's, you know, kind of MOUs out there. But given the nascent nature of the legislation itself, I mean, I imagine that this could still take some degree of time to come to fruition in a more firm sense. Do you want to just give some sense of expectation on that? Then also, you know, in parallel, we've seen some of your adjacent states talk about data center tariffs as they become more serious about this opportunity as well, you know, between Ohio and Indiana. Could we see you guys elect to pursue some kind of novel, you know, data center-specific tariff structure at this point? Put that forward?
Joi Harris: Hey there, Julien. Yeah. The conversations are progressing. We have a shared goal to get something done more definitively this year. The arrangement that we have, the agreement that we have with Switch, the term sheet, really is we're trying to line out the ramp. Right? The ramp of the generation over the next several years. Then we also have a signed agreement with the University of Michigan for 110 megawatts. Jerry spoke about another agreement that we've already moved toward, I'd say, a term sheet with, and that's with an undisclosed party, but all of this is coming together with a potential for 2,100 megawatts of added load for data centers, which is phenomenal, and we're continuing those conversations. We've got the right land positions. We've got the right climate. We've got the legislation now behind us. So that's increased the interest, I would say, in Michigan overall. So really feeling positive about the opportunity that's before us, and the team is hard at work at making those agreements more definitive than they are now. When it comes to figuring out, you know, long-term, what the generation needs might be, near term, we can serve the demand based on the ramp that we understand right now with what we have on hand. So we have some excess capacity that we can put to work. Think of it as, you know, we may have to bring on some renewables, some battery storage, to support this load. But generally speaking, near term, this is really a great affordability play for our customers because we can bring on the load and not make really huge investments. As the load ramps, we'll have to look to, you know, expansion of renewables, more batteries, and potentially something firmer or fixed in terms of generation. So think of a combined cycle with carbon capture, for an example. But that will be longer in range. We would probably look to use a different tariff structure. We can use our existing tariffs now, but if we have to build something significant, we'd have to bring on a different tariff structure and think of it as more of, you know, fixed volumes and certainly demand response incorporated with that as well. So that's kind of where we're sitting with data centers right now.
Jerry Norcia: Julien, that new tariff that we would need to say build a combined cycle plant or some, you know, surrounded with more renewables and battery storage would be long-term in nature as well as, you know, a fixed-fee type arrangement so that we don't put any kind of risk on our customers. The commission and the governor are very supportive of that. The legislation actually points to it. It requires it. So I think we're in good shape from a legislative perspective and strong support from the commission.
Julien Dumoulin-Smith: Hey. Excellent, guys. Nicely done today. All the best. Alright. We'll connect soon. Thank you, Julien.
Operator: Your next question comes from the line of David Arcaro with Morgan Stanley. Thank you. Please go ahead.
David Arcaro: Oh, hey. Thanks. Good morning.
Jerry Norcia: Morning, David.
David Arcaro: Hey. Wondering if you could touch on maybe learnings from the recent electric rate case in terms of what the commission you think wants to see in terms of affordability, you know, ROE, storm tracker, IRM, etcetera. I'd be curious about your thoughts.
Joi Harris: Yeah. Good morning, David. Again, this was a constructive order, and it supports our investment agenda. So there was no change to ROE or the equity layer, so that was all positive. The commission extended the IRM, which was really a positive move, signaling that, you know, we can continue to build on that and expand it using the Liberty audit. We are going to work now on just understanding how we incorporate the audit findings into our plan, and we look to incorporate that in our next proceeding. The commission was really positive about what these investments are yielding in terms of benefits to customers. If you listen to the call, you could hear the positive tone, and they spoke about, you know, the improvement that we experienced last year and how they're proud of the progress we're making on improving reliability for customers. So that's the work ahead of us is to, you know, work on getting aligned on how we expand the IRM and then looking to bring these investments online over the next several years. We've got the distribution grid plan that lays out our plan that aligns to our 30/50 goals. So this is to reduce the frequency of outages by 30% and cut duration in half by 50%. We've proven that, you know, when we invest, it works. I think the commission wants to continue down that path, as do we. We're looking to, you know, get that all incorporated in our next regulatory case.
Jerry Norcia: Hey, David. You asked about affordability as well. So just to add to Joi's comment, if you could take a minute and look at page sixteen of our package. I mean, our performance on bill growth is extraordinary when you compare it to the industry and even when you compare it to our neighbors in the Great Lakes region. We're sitting at 2.4% absolute bill growth since 2021, including the most recent rate case. So, you know, when I talk to the commissioners, I mean, affordability is really not on their screen. I mean, they see this data. They know about this data. We actually have it in our filings. We talk about it. So I feel really good about our affordability posture.
Joi Harris: On top of that, if you look at this last rate order, last year, if you recall, we reduced the power supply cost recovery cost by $300 million. So this last rate order, there was really no increase for customers because it's being offset by the PSCR reduction. So that's just an example of how we continue to go to work on behalf of our customers to keep our bills affordable.
David Arcaro: Yeah. Absolutely. No. I appreciate that color. Very strong position to be coming from given that track record. Then I was curious, maybe one more question here on data center activity. But would you be able to quantify how much of a pipeline, you know, in terms of gigawatts of data centers you might be seeing out there as opportunities in Michigan and just on the capacity, available capacity you have on your system? Do you think of that as being fully exhausted at this point, or there's still, you know, near-term capacity that's left to allocate to some of these potential incremental new customers beyond the ones that you mentioned?
Joi Harris: Yeah. We're seeing about three gigawatts in our pipeline. Three gigawatts. I mean, three gigawatts in our pipeline. I wish it was three billion gigawatts. We aren't at a point where we've used the total excess capacity as yet. We've got up to a gigawatt of excess capacity near term. As I mentioned before, as we understand the ramps from these data center providers, we'll look to add generation along the way. So that's where we're sitting right now, David.
David Arcaro: Perfect. Super helpful. Thanks so much. Great update.
Operator: Your next question comes from the line of Michael Sullivan with Wolfe Research. Please go ahead.
Michael Sullivan: Hey, good morning.
Jerry Norcia: Hey, Michael.
Michael Sullivan: Just over the duration of the plan, can you give us what rate base growth looks like?
David Ruud: Yeah. Rate base growth is in the 8% range for the plan.
Michael Sullivan: Okay. Thanks. Then, sorry, just another one on some of the mechanics of the 45Z's. I guess if you strip that out of 2025, can you just talk about what's driving Vantage lower year over year off of 2024?
David Ruud: Yeah. Let me start by saying we love the 45Z's. They're great, and they are providing us some flexibility. But what you see in Vantage is some lumpiness as some of these new projects come online. There are associated investment tax credits. So in 2024, look, we had some big new projects come on and investment tax credits with that. You know, we don't foresee those projects coming on to the same level in 2025. However, we've been talking about some of these projects that will be coming on again in 2026 and 2027 to kind of give us some of that favorability and investment tax credits in those years too. Then again, Michael, like we said, when you look past 2027, our Vantage forecast doesn't assume any of the 45Z's or investment tax credits in the plan past that.
Michael Sullivan: Okay. That was gonna be my next question. Then last one, just real quick, Dave. Where did you all finish up on FFO to debt for 2024?
David Ruud: We're right at that 15% number.
Michael Sullivan: Okay. Perfect. Thank you very much.
David Ruud: Yep. Thank you.
Operator: Your next question comes from the line of Andrew Weisel with Scotiabank. Please go ahead.
Andrew Weisel: Hey. Good morning, everybody.
Jerry Norcia: Morning, Andrew.
Andrew Weisel: First question, I want to follow-up a little on the commentary about potential new generation build. Can you remind us the timing of the 2026 IRP, when it would be filed, approved, and implemented? Joi, I think you talked about some changes in tariffs. Would that be changed through rate cases or some other regulatory or legislative vehicle? How would those processes work together or independently?
Joi Harris: Yeah. So let me start with your first question and good morning. So we plan to file our next IRP toward the end of 2026. That process will play out over, you know, 2027. We'll get a result either we settle or we go to a fully contested IRP, and that would put us at the end of 2027 and right in the beginning of 2028. You also asked about the tariffs. So a tariff structure would have to be something that we work with the commission on, and it can be done outside of a rate case. But certainly, as we learn more about the demand for data centers, we'll keep the commissioners apprised of the progress we're making and try to do some of the prework. I think we're aligned that we want to make sure that anything that we bring on in terms of new generation, we protect the existing customer base. So we would want to have fixed-fee, long-term contracts in place. We've got some models here to look to to make sure we're incorporating best practices from other geographies.
Andrew Weisel: Okay. Great. That's helpful. Second, I want to clarify the commentary about the earnings growth in the RNG tax credits. This has come up a few times, but I just want to understand. You talked about the high end in 2025 to 2027. I understand that. Then you talked about exceeding the high end and supporting future years. I'm almost certain I heard all three of you, Jerry, Joi, and Dave, say "or support future years" rather than "and support future years." Maybe I'm getting too specific here, but what exactly does that mean? Are you talking about pulling forward expenses from 2028 and 2029? Are you talking about maybe earnings growth of 9% or something like we saw in 2024? Can you just elaborate about that?
Jerry Norcia: I guess, Andrew, you hit on it. We're really using the Z's to commit to the higher end of guidance from 2025 through 2027. You know, we got dry powder potentially in the plan that could take us beyond that high end. But we also want the flexibility to do the things you said, like, hey, maybe we find it's hard to predict where we'll find ourselves at a highly detailed level in, you know, 2027 or 2026. So we want to make sure we have some flexibility in the plan to deliver, you know, really high-quality growth for our shareholders, you know, at the top end or higher, or make sure that we start to secure the future as well as we move into 2028 and beyond. We don't need to do that. I think we want to retain the flexibility to do that. Maybe that's a better way to clarify. We don't need tax credits to make our numbers in 2028 and 2029. We're not saying, hey, we need some of the rollover or anything like that. But we do want to retain the flexibility that, hey, you know, if we find ourselves in a position to, you know, this high-quality position in 2027 where we can pull forward expenses from 2028 and produce an even higher quality 2028 than what we're talking about right now, we're gonna do that. That's the flexibility we're talking about.
Andrew Weisel: So I guess maybe to bring it together, is there anything besides conservatism keeping us at 6% to 8% rather than increasing it?
Jerry Norcia: I would say we like to underpromise and overdeliver. That's been our pattern.
Andrew Weisel: We like that too. Keep it up. Thank you very much.
Operator: Your next question comes from the line of Bill Appicelli with UBS. Please go ahead.
Bill Appicelli: Hi. Good morning. Taking the question here. Yeah. I mean, I think Andrew hit on the question there that I was going at, which is, you know, it sounds like putting this all together, right, you guys would be comfortable, you know, targeting or, you know, being disappointed if you're not sort of at the high end of the range over this forecast or even extending beyond the roll-off of the tax credits. Is that fair?
Jerry Norcia: I think what we've said is, you know, it helps us a lot in 2025 through 2027. When you look at long-term based off of the 2025 original guidance, we're comfortable with a 6% to 8% long-term EPS growth rate in the long term.
Bill Appicelli: Yeah. And the upside to that would be we start getting incremental CapEx that comes into the plan from data centers or other demand.
Jerry Norcia: Right. But right now, the most glaring opportunity where we're actually, you know, have paper signed, and we're trying to work towards firm agreements is data center load. So as we look out, you know, we got some heat in the plan from 2025 through 2027. As we get beyond that, you know, we're saying, hey, 6% to 8%, until we can tell you more about these data centers.
Bill Appicelli: Okay. That's clear. Thank you. Then just remind us of the cadence of the rate case filings over the next few years. So you have the DTE Gas case that you're gonna file here later this year, but is the assumption that there'll be sort of the continuing, you know, regular cadence of filings over the next few years?
Joi Harris: So for electric, yeah. I think you can assume based on the level of investments that we're making. The only thing that would extend the time between filings would be an expansion of the IRM and electric.
Jerry Norcia: I guess if we get more traditional outcomes, we would like to be back to the two or three-year time frame between rate cases, but we'll have to play out the next one and see how it plays out.
Bill Appicelli: And then as far as the expansion of the IRM, how do you guys evaluate that? Does that have to be proceeding, you know, now that the electric case is over?
Joi Harris: Yes. I mean, that's the work ahead of us is getting alignment with the MPSC staff and commissioners on what should go into the IRM. I think, you know, the Liberty audit will serve as that foundation. The good news is that the audit findings generally point to the plan that we have in place. It is a good plan, and we'll deliver the reliability improvements that we're targeting over the next five years. So we'll go to work with the staff and the commissioners and just make sure that, you know, the units that we want to incorporate and the types of work that we want to incorporate in the plan are well understood.
Bill Appicelli: Alright. Great. Congrats on the great call here. Thank you very much.
Operator: Your next question comes from the line of Travis Miller with Morningstar. Please go ahead.
Travis Miller: Thank you. Good morning, everyone. Sure. You've answered my questions on the IRM rather several times here. But just a quick follow-up. One, how much CapEx is in your plan that you would hope to flow through the IRM, assuming that the regulators continue to approve that in future rate cases? Then is there upside that you could flow through the IRM in terms of CapEx from the audit depending on how that comes out? So just those two quick follow-ups.
Joi Harris: Yeah. In our last case, we filed for an expansion of, like, up to, like, $590 million and then growing to, like, $720 million. Right? So think of it. That's just order of magnitude if you want to use that as a gauge. Then how do we see that growing over time and what kind of units and if there's upside to the plan, what we know in the audit. The auditors called out pole top maintenance as being an area where they want to see increased investment, and we see that as an opportunity to add some upside to our plan. So we're reconciling all of that right now and certainly trying to get alignment before we file anything in terms of our next rate case.
Travis Miller: Okay. Perfect. That's all I got. Appreciate it.
Joi Harris: Thank you.
Operator: Your next question comes from the line of Paul Fremont with Ladenburg. Please go ahead.
Paul Fremont: Thank you very much, and congratulations on a strong quarter. Just wanted to sort of follow-up on Vantage. You talked about having significant tax credit contribution in 2024. Was that associated with Ford? Can you quantify what that tax benefit was?
David Ruud: Yeah. Paul, this is Dave. Yeah, it was associated with the Ford project. It was a little over $50 million was the ITC associated with the Ford project.
Paul Fremont: Great. That's it in terms of questions for me. Thank you.
David Ruud: Thanks, Paul.
Operator: Your next question comes from the line of Ryan Levine with Citi. Please go ahead.
Ryan Levine: Good morning. Quick question. In terms of the potential tariff for data centers, would you look to file something soon? Then should we look for it to be somewhat similar to your peer utilities filing from the last week?
Joi Harris: Yeah. I think good morning first, Ryan. I think as we learn more about the ramp, we'll determine whether or not we need to file a new tariff. I think those discussions are underway, but you can anticipate that as the load grows, we'll eventually get to a point where we'll have to build something to support that load incremental to the generation we have on hand. We'll look to incorporate, as I said before, best practices from other geographies and certainly learnings that we gain here with the state.
Ryan Levine: Okay. Thanks. That was my question.
Operator: I will turn the call back over to Jerry Norcia for closing remarks.
Jerry Norcia: Well, thank you, everyone, for joining us today. I'll just close by saying we're feeling great about 2025 and our long-term future plans. Have a great morning. Stay healthy and safe.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.
Ryan Levine: Thank you.